Operator: Ladies and gentlemen, thank you for standing by and welcome to NETSCOUT’s Third Quarter 2021 Financial Results Conference Call. At this time, all parties are in a listen-only mode until the question-and-answer portion of the call. As a reminder, this call is being recorded. Tony Piazza, Vice President of Corporate Finance and his colleagues at NETSCOUT are on the line with us today. [Operator Instructions] I would now like to turn the call over to Tony Piazza to begin the company's prepared remarks.
Tony Piazza: Thank you, Leo, and good morning everyone. Welcome to NETSCOUT’s third quarter fiscal year 2021 conference call for the period ended December 31, 2020. Joining me today are Anil Singhal, NETSCOUT’s President and Chief Executive Officer; Michael Szabados, NETSCOUT’s Chief Operating Officer; and Jean Bua, NETSCOUT’s Executive Vice President and Chief Financial Officer. There is a slide presentation that accompanies our prepared remarks. You can advance the slides in the webcast viewer to follow our commentary. Both the slides and the prepared remarks can be accessed in multiple areas within the Investor Relations section of our website at www.netscout.com, including the IR landing page under Financial Results, the Webcast itself, and under Financial Information on the Quarterly Results page. Moving on to Slide number 3, today’s conference call will include forward-looking statements. These statements may be prefaced by words such as anticipate, believe, and expect and will cover a range of topics that are not strictly historical facts such as our outlook, our market opportunities and market share, key business initiatives and future product plans, along with their potential impact on our financial performance. These forward-looking statements involve risks and uncertainties and actual results could differ materially from the forward-looking statements due to known and unknown risks, uncertainties, assumptions and other factors, which are described on this slide, in today’s financial press release, as well as in the company’s Annual Report on Form 10-K for the year ended March 31, 2020 and subsequent quarterly reports on Form 10-Q. NETSCOUT assumes no obligation to update any forward-looking information contained in this communication or with respect to the announcements described herein. Let’s turn to Slide number 4, which involves non-GAAP metrics. While this slide presentation includes both GAAP and Non-GAAP results, unless otherwise stated, financial information discussed on today’s conference call will be on a non-GAAP basis only. The rationale for providing non-GAAP measures along with the limitations of relying solely on those measures is detailed on the slide and in today’s press release. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Reconciliations of all non-GAAP metrics with the applicable GAAP measures are provided in the appendix of the slide presentation, in today’s earnings press release, and are available on our website. I will now turn the call over to Anil for his prepared remarks. Anil?
Anil Singhal: Thank you, Tony. Good morning, everyone and thank you for joining us. Let’s begin on Slide number 6 with a brief recap of our third quarter non-GAAP results. We are generally pleased with our third quarter results. They contributed to our strong year-to date earnings per share growth over the same period in the prior fiscal year. Revenue for the quarter was $228.7 million. Earnings per share was $0.66 in the quarter. The quarter had solid gross and operating margins of 78.6% and 28.2%, respectively. This was attributable to high margin security product performance and reduced expenses from our continued cost control focus and benefits from the pandemic related restrictions on travel and events. Today, we are narrowing our revenue range and increasing our EPS outlook as a result of our year-to-date performance. Let’s move to Slide number 7 for some further perspective on market trends and business insights. From a market perspective, our offerings are being well received given our ability to provide service assurance, with real-time, pervasive visibility and insight. Our security solutions mitigate disruption for our customers, and all of our products provide solutions regardless of the customer’s underlying infrastructure. This is important as customers further safeguard their Information Technology infrastructure in this pandemic environment that is straining their networks in terms of volume and attempted security breaches. Despite these needs, it continues to be a challenging selling environment as many companies are financially constrained as they manage through the current pandemic and macroeconomic environment and are forced to make tough choices on balancing visibility and protection against spending constraints. In the service provider customer vertical, revenue declined approximately 11% for the quarter and approximately 9% on a year-to-date basis. We do not see any immediate changes to the service provider spending environment but are optimistic about 5G given the recent spectrum auctions. As we have discussed on prior calls, the next technology evolution that we believe will create increased customer spending in this vertical is 5G, and specifically, the build-out of the stand-alone 5G networks. Although, we are not at the stand-alone 5G network point yet, we are starting to see progress on this front. The conclusion of the FCC U.S. auction process for the C-Band spectrum required to advance the stand-alone 5G networks saw record-breaking prices. Bidders are currently awaiting their spectrum allocations which should be a catalyst to advancing the build-out of stand-alone 5G networks in the U.S. Michael will highlight some recent customer wins in this vertical during his remarks. In the enterprise customer vertical, revenue declined approximately 13% for the quarter and approximately 4% on a year-to-date basis. The primary driver of the year-to-date decrease was lower federal government spending. As we have previously mentioned, even with a solid pipeline of user-approved projects in the federal government sector, the timing and magnitude of funding for these initiatives has been difficult to predict in the current environment. Removing federal government revenue from the comparison, enterprise revenue would have grown in the low-to-mid single-digits on a year-to-date basis. Given the heightened awareness around cybersecurity from the pandemic and recent news of the Sunburst Attack, I would like to take a moment to frame our security product line. Our security offerings, in particular, our Smart DDoS solutions, have done well this year. Our year-to-date security revenue growth is in the low-double-digits, with growth in both the service provider and enterprise verticals compared to the same period last fiscal year. Our security offerings currently make up approximately a quarter of our total annual revenue. From a competitive perspective, our security offerings are differentiated in that they are driven by broad and deep visibility that illuminates our customers’ network infrastructures using patented NETSCOUT packet and flow processing technologies and our unique intelligence. We also focus in two areas, speed of detection from the network to the application layer; and fast access to forensic capabilities that allow our customers to quickly understand what happened during any incident. Most importantly, our products have delivered against the requirements of the most demanding organizations all around the world. We are increasing our focus in the security area as we continue to integrate our service assurance, security solutions to provide these unique offerings in the market. For example, we recently released two new products, Cyber Investigator and CyberStream, which combine our packet-based technologies and are designed to accelerate threat hunting, forensics, and incident response. Our AED product is designed to catch and block an attack and Cyber Investigator/CyberStream provide insight into the minds of the hackers. Michael will highlight more on this and some of our enterprise wins in this vertical during his remarks. Now let’s move to Slide number 8 to review our outlook. Our focus during these challenging times has been to keep our team safe and productive, to serve our customers well with the highest quality solutions and the service, and to drive overall margin expansion while preserving liquidity to maintain a strong balance sheet and financial flexibility. Our relevant solutions, trusted brand, strong customer relationships, dedicated team, and solid financial profile have positioned us well as we continue to weather the current environment. That said, we are not immune to the impacts of the pandemic and resulting challenging macroeconomic environment that is causing elongated purchasing cycles. In the face of this climate, we remain committed to enhancing our profitability. Today, we are raising our fiscal year 2021 earnings per share outlook given our solid year-to-date earnings performance. With one quarter remaining in our fiscal year 2021, we are also narrowing our annual revenue guidance range, although the mid-point remains the same. Jean will provide more details on our updated guidance during her remarks. We appreciate the dedication and support of our employees and other stakeholders during this time. We also look forward to interacting with many of our users and partners at our upcoming Virtual Engage 2021 Technology and User Event. Michael will provide more information on this event during his remarks. With long-term market trends, such as digital transformation, cloud migration, increased cyber threats, and 5G networks, in NETSCOUT’s favor, we continue to believe we are well-positioned as Guardians of the Connected World, when we emerge from this global crisis. I look forward to updating you on our progress as we finish this fiscal year and sharing our strategy for fiscal year 2022 and beyond on a future call. I’ll now turn the call over to Michael for his remarks.
Michael Szabados: Thank you, Anil, and good morning everyone. Slide 10 outlines the areas that I will cover. In terms of customer wins, starting with customer wins in the service provider vertical, a notable win in the quarter was one with a Tier 1 domestic mobile service provider that continues to build on our solutions as it rolls out its 5G network. The deal was a low-eight figure order similar to the order they placed in the same quarter last year. The deal encompassed our entire software portfolio of service assurance solutions and is a key part of this providers 5G offering. Continuing with the service provider vertical, from a security perspective, we see additional opportunities emerging for our security products due to the strong increase in OTT or over-the-top traffic. During the quarter, we won a mid-seven figure deal with an existing customer that is a leading MSO or multi-services operations company. They began an initiative to place DDoS protection at the subscriber edge of their network, beyond the typical placement at the so-called peering edge, to optimize traffic flow and offer managed services to their customers from these new installations. Smart DDoS opportunities are growing due to the new, more sophisticated, and complex attack types that necessitate on-premises deployment in the enterprise market, often in front of our customers’ firewall, to protect them from being overrun by high-volume attacks. Our AED product has benefitted from this trend In the enterprise vertical, new logos are often competitive wins against an incumbent and in some cases the opportunity arises in greenfield accounts due to growing threats to mission-critical services. Such was the case with a low-seven-figure deal in Asia, where the customer is the back-office service provider to a leading U.S. bank, which is a long-standing customer of ours. In this situation, we sold at the CTO level and could address both their service assurance and DDoS protection requirements with a combination of our nGenius and Smart DDoS security solutions. Increasingly, in our enterprise wins, our superior portfolio breadth and depth are the deciding factor in our favor. A sector that has continued to perform well in our enterprise customer base in this environment is healthcare. During the quarter, we won a series of deals that amounted to a high-seven figure total with a leading U.S. healthcare provider, who is a longstanding customer. The transaction was a refresh and expansion of their existing service assurance deployments at various sites. This refresh was an opportunity to convert their appliance deployments to our COTS or commercial off-the-shelf offerings which was a financially compelling value to the customer. Expansion opportunities have been developing in cloud initiatives, telemedicine, and application assurance. In terms of go-to-market activities, we continue to focus on our strategic partnerships and customer engagement. One example of our key strategic partnerships is, one with Amazon Web Services. In November, we exhibited at the AWS annual re:invent 2020 event and announced and demoed NETSCOUT Cyber Investigator in the cloud. Cyber Investigator is also available in all other form factors as Anil mentioned and is designed to accelerate threat hunting and investigation. We collaborated closely with AWS in their development of pioneering packet access services, which enable packet-based security and service assurance vendors to deploy their solutions simply and affordably in the cloud. On the customer engagement front, we are planning our annual Engage Technology and User Summit as a virtual event scheduled for April 19 through April 30. For Engage 2021, we are expanding the event to attract both users and prospects, in both the service assurance and cyber security fields. Over the two weeks, we will showcase our Security, Service Assurance and DDoS capabilities through presentations, panel discussions, demonstrations, and hands-on training. This event is an annual tradition and a highlight of the year for us, given the opportunity to meet with our user and partner community and discuss how our solutions truly offer Visibility Without Borders. That concludes my prepared remarks, and I will now turn the call over to Jean.
Jean Bua: Thank you, Michael, and good morning everyone. I will review key metrics for our third quarter and first nine months of our fiscal year 2021 performance, along with our guidance for the remainder of the fiscal year. As a reminder, this review focuses on our non-GAAP results unless otherwise stated, and all reconciliations with our GAAP results appear in the presentation appendix. Slide number 12, details our results for our third quarter and year-to-date fiscal year 2021. Focusing on the quarterly performance, revenue declined 12% over the same quarter in the prior year to $228.7 million. Product revenue declined 19.8% and service revenue declined 2.6% over the prior year’s quarter. Our third quarter fiscal year 2021 gross profit margin was 78.6%, up 0.8% over the same quarter last year primarily attributable to the product mix within the quarter. Our software only sales were 31% of service assurance product revenue compared with 42% in the third quarter of the prior year. Quarterly operating expenses decreased 12.1% from the prior year, reflecting continued cost controls and reduced cost for sales and marketing and pandemic related travel restrictions. We reported an operating profit margin of 28.2% compared with 27.3% in the same quarter last year. Diluted earnings per share was $0.66 compared with $0.73 in the same quarter last year. Turning to Slide 13, I’d like to review key revenue trends for the first nine months of the fiscal year. At the end of our fiscal third quarter, the service provider customer vertical revenue declined approximately 9% while the enterprise vertical declined approximately 4%. Approximately 51% of total revenue for the first nine months of the fiscal year was generated by the service provider vertical, with the remainder in the enterprise vertical. Turning to Slide 14, which shows our geographic revenue mix, on a GAAP basis. Revenue by geography was 59% in the United States and 41% internationally. There were no customers in the quarter or the first nine months of the year that represented 10% or more of revenue. Slide 15 details our balance sheet highlights and free cash flow. We ended the quarter with cash, cash equivalents, short-term marketable securities, and long-term marketable securities of $490.4 million, which is an increase of $62.6 million since the end of the second quarter. Free cash flow generated in the quarter was $62 million. During the quarter we repurchased approximately 154,000 shares of our common stock at a cost of approximately $3.3 million which is an average price per share of $21.23. We currently have a share repurchase program in place and plan to be active in the market depending on market conditions. From a debt perspective, at the end of the third quarter we had $450 million outstanding on our $1 billion revolving credit facility. Our revolving credit facility provides flexibility without any required loan amortization. To efficiently use our cash, while maintaining liquidity, we plan to repay $100 million of debt in our fourth quarter. Accordingly, we anticipate outstanding debt to be $350 million entering our fiscal year 2022. Our revolving credit facility expires in January of 2023 and has no required principal repayments until maturity. To briefly recap other balance sheet highlights, accounts receivable, net, was $208 million, down by $5.5 million since the end of March. DSOs were 70 days versus 73 days at the end of fiscal year 2020 and 77 days at the same time last year. The improvement in the DSO’s in the third quarter of this year compared with the third quarter of the prior year is primarily attributable to the timing of orders within the quarter. Let’s move to Slide 16 for our guidance. I will focus my review on our non-GAAP guidance. We have updated our fiscal year 2021 guidance, which was originally issued on October 29, 2020. With one quarter remaining in the fiscal year, we are narrowing the range of our expected revenue performance and increasing our earnings per share expectations. We now expect revenue for fiscal year 2021 to be in the range of $825 million to $840 million. We expect non-GAAP earnings per share to improve over last fiscal year and be in a range of $1.60 to $1.67. I would also like to note a few other items related to our outlook for fiscal year 2021. We anticipate our gross margin to be approximately 76%. We expect the full-year tax rate to be approximately 21%. Additionally, we expect the diluted weighted average shares outstanding for the fiscal year to be approximately 74 million shares. That concludes my formal review of our financial results. I’ll now turn the call over to Leo to start Q&A.
Operator: [Operator Instructions] We'll take our first question from Matt Hedberg of RBC Capital Markets.
Matt Hedberg: Hey, thanks guys. Good morning. Thanks for the questions here. Anil, you noted service provider spending was down 11%. I wonder if you could talk a bit more about the dynamics there and maybe a little bit more on your large deal pipeline there that might get you more confident on Q4 expectations on the service provider side?
Anil Singhal: Well, overall, as Matt, we have mentioned in the past, I think there has been consolidation changes in the large customer, large carriers, the top four, the consolidation, lack of spending with one of them. And that has affected our business over the last few years. And we think we are hitting the all the buttons of all the negative effect of these events. And so we don't think that situation will get worse into next year. But on the international side, our pipeline is improving, and I think there is still a lot of 4G spending, and we have spent tremendous R&D energy on 5G. While 5G is not bringing the revenue, it is allowing us to drive 4G business. And so when we are doing 5G trials, traffic for 4G continues to grow. So I overall feel that I think we have generally hit the bottom in the carrier area. Second is that there is a lot of interest in being able to use plug-in modules for security with our service assurance products. So there are a lot of questions about IoT-based attacks and DDoS attacks on the carrier – on the mobility network, on the RAN. And we are positioned properly in the right places as incumbent in big carrier amount – accounts where we can sell software modules without the need for them to buy additional hardware. And when they buy, they spend a lot of money on hardware, that means there's less money left over for us. So I think those are the dynamics, and I don't know whether I directly answered your question. But overall, the U.S. situation is normalizing. And I think there is improvement outside of U.S.
Matt Hedberg: That’s great. That helps. And then, Jean, in your prepared remarks, you noted that software-only sales were 31% of service assurance product revenue. It was a bit lower. I think even though it's 42% last year. Just sort of curious on why that's the case. I mean, I guess, I would assume that overtime, software-only would continue to mix up rather than down this quarter. Maybe there was a dynamic that caused that?
Jean Bua: The way we discussed it before is that we have many different offerings to customers that they can buy in any form factors that they prefer. So the mix is generally a function of the preference of customers. Last quarter, last year's Q3, we had many deals that were – including some deals in the enterprise that was software only. So I would just say it's a function of the customer projects that actually happened in Q3 of this year versus Q3 of last year.
Matt Hedberg: Got it. So more of a comp.
Jean Bua: We’ve made significant – I’m sorry, we've made significant headway also in some of our software-only in our security products, which we don't have in that particular 30% to 33% that we discussed.
Matt Hedberg: Got it. That makes a ton of sense. Thanks guys.
Jean Bua: Thank you.
Operator: Our next question is from Eric Martinuzzi of Lake Street.
Eric Martinuzzi: Yes, I also wanted to focus on the carrier spend. Just to clarify, I realize when I may not quite understand, Anil, when you say carrier spending hitting bottom or does that mean that there's kind of a maintenance level of spending from carriers that stops the carrier spend on an annual basis from going down anymore? Or it's at a bottom and you expect it to go up in kind of on a longer-term basis.
Anil Singhal: I think on the U.S. carriers, the top four U.S. carrier with now there are only three left. I mean, that's what I mentioned that I think we are doing a reasonable business on both the product side and the renewal side have stabilized. And that's what I was saying that a further decline into next year is unlikely. And that was a big portion of the – our total carrier spend. And that total carrier, the contribution to revenue. But outside of U.S., I think there is an uptick and as people are continuing to be interested in that, we have increased our focus on the – increase our focus on international and anyway reduce the dependency on top end customers. And lastly, I think we have talked a lot about tier-1s and one of the things we are doing now without some pricing models is to see how do we go after the tier-2 market, which is much more price sensitive. So I think overall effect of all these things is a normalization of service assurance revenue in carrier with security potential upside and 5G as a potential upside next year.
Eric Martinuzzi: Got it. You talked about one of the things in the quarter that took place was a nice renewal and expansion with Vodafone. I know you've had Vodafone, got to be over probably 10 years – 15 years, you’ve had a relationship there. What can you tell us about how that relationship changed on this renewal versus the prior relationship?
Anil Singhal: I think it just enters our revenue stream coming from them. So this differs – all this deal is about covering all the OpCos in Europe. And so about 70 is a master deal and they get priced – their predetermined price points if anybody wants to buy a blanket contract. And so it's just solid wise our business in that Vodafone OpCos for the next three years and where there is not going to be a big price negotiation moving forward. And is the extension of the deal we had done with them earlier. So – and this time, it was a little bit tougher because we had more people bidding for this, there were discussion about cloud-based deployments, and 5G direction. And in the end, we won. And so I look at it as Vodafone business is not going up or down. It's a continuation of the similar margins and revenue we had in the last three years.
Eric Martinuzzi: Got it, and congrats on that. One last question for me, the fed – as you characterize it’s somewhat unpredictable as to when that business hits – change in administration. Is there anything that allows you to predict that business a little bit better in over the next 12 months versus the prior 12 months? Or is it really unrelated to the administration in charge?
Anil Singhal: I think Jean may have some other thing – points there, but I think it's unrelated, but that doesn't mean there may not be a positive impact. But overall, I see there is lot of interest in our cybersecurity solution in the federal area. And I think that could be a bigger effect. And as you may remember, we announced a product last year in the security area beyond the DDoS but it has been very difficult to do trials because of pandemic and to put new equipment there. So we feel that the comparison from last year federal – last year federal was there. I mean, there was a great year. So part of it is that. But we think that cybersecurity push our solution in the coming year. Next year will be a bigger contributor to a positive trend than the government change or administration change.
Eric Martinuzzi: Okay. And then one for Jean. Given the repurchases that you did in the December quarter, I see the guidance includes the – your expectations for the weighted average share. Historically, you've had some kind of calculus on the buyback. I know because of COVID, you revisited that. So maybe it was nine months ago. The use of cash, you've said in the press release, hey, we're going to pay down $100 million on the revolver. So how aggressive are we going to be on the buyback?
Jean Bua: Well, when we look at the buyback, we always look at what our future valuations will be based on all plans and where the market is. So it's really a condition of what the share price is at the moment when we put the grids in place. These grids were put in place back at the beginning of our last quarter after our earnings call, so probably sometime in November. So they would have been based on market conditions at that time.
Eric Martinuzzi: Okay. And then the pay down on the debt is just really have more breeding room on covenants or just a version to that?
Jean Bua: Well, when we looked at it, we have – we generate a lot of cash. We have a lot of free cash flow, especially sitting in the United States. And rather than keep it on our balance sheet, we thought, at the moment, it made sense to pay down the $100 million on the revolver. That will bring us down into a slightly lower price on the – on our LIBOR margin, so we should save some earnings per share in FY 2022 on that. But the important thing is that, that revolver is a flexible vehicle. So that means that I could pay it down. And then in the quarter, if I saw I needed to ratchet the debt back up for whatever opportunity arose, I could do that very easily. So it's a very flexible instrument.
Eric Martinuzzi: You anticipated my follow-up question.
Anil Singhal: Okay, thank you.
Operator: Our next question is from James Fish of Piper Sandler.
James Fish: Hey guys, thanks for the questions here. I wanted to start on the product upside. How much especially with enterprises was related to budget slash versus kind of project deferrals coming in from prior quarters? Versus any demand this quarter following the SolarWinds breach for security? And just related to the SolarWinds breach. Has this caused some enterprises to look actually at the NETSCOUT's services insurance portfolio as a replacement at all?
Anil Singhal: So I'll answer this SolarWind question or the Sunburst attack. And so we don't directly our products didn't directly detect the attack, but once the attack was detected, once this threat vector was known, our product was used to provide visibility to how unable people were like it helped in the clean up attempt. But I think the biggest part was that while it didn't drive any new revenue, I think our approach, which is less vulnerable to attack because not only security products have to be able to do that – detect the attack and do forensic analysis. But they can themselves cannot be on rail. So it's not just our product, but our approach, the way it's a stand-alone appliance or a software appliance versus being installed under server is less prone to hacker. And that approach is getting validated for the security guys, and there's much more appreciation of what we do. And this will help us indirectly as we launch our new security product, we don't need to defend our approach too much because of what's happening in the marketplace. So it didn't really contribute to any revenue in this but it's already solidify our position in the market, and people can look at more favorably at our approach and product as we launch our cybersecurity solution. And maybe Jean can mean anything about the contribution?
Jean Bua: I mean, we had taken the opportunity given the current interest in the cybersecurity analysis to explain a little bit about our DDoS offerings, which are under the brand name Arbor. Within the enterprise on a year-to-date basis, Arbor has been growing very well into growing probably somewhere in the 20% to 25% within the enterprise. And again, we're focused mostly in very high end enterprise, like financial and government areas. And so it's not going it's going very well for us this year. I think as Anil said, it is Ramon, it has grown in the low teens in total on a year-to-date basis at this time.
James Fish: Right. But really, I'm trying to understand if there's any way to flush out really what the – like how – why enterprises look pretty good this quarter, but relatively speaking, but between budget flush that we're seeing with kind of the infrastructure space as a whole versus kind of the project deferrals, anything to comment there?
Jean Bua: No, nothing comes to mind about any deals that will pull forward in the enterprise. I would say, for the most positive quarter came in line from a revenue perspective with what we had anticipated.
James Fish: All right. And then I know it's – is there any way to understand what the penetration of security is actually into the service assurance installed base at this point? Or how many products per customer you have today for security?
Anil Singhal: I think the number of customers who are actively looking at that I would say maybe 10% of our service assurance customers are actively looking at our Arbor solution. And out of that, some of them have already purchased and that some of the growth that Jean is talking about is original Arbor customer base and some are service assurance customers and this other product, Cyber Investigator, which complements the Arbor solution, is there is a lot of interest in that. But I have – as I mentioned. And that was introduced recently, and there has been some challenge in doing proof of concepts. So overall, yes, we are using the service assurance customer base, but also wanted to mention that we are using a sole sales overlay structure this year. We started that. That means that our service assurance sales force also get commission on the security sales. So that is having some positive effect also.
James Fish: Understood. Thanks for the color, Jean and Anil, and congrats again.
Jean Bua: Thanks James.
Anil Singhal: Thanks.
Operator: Our next question is from Kevin Liu of Kevin Liu & Company.
Kevin Liu: Hi, good morning, guys. First question here, just kind of following up on your last point, Anil, just last quarter, you guys talked about this growth for Arbor Edge Defense. It sounds like that continued so far. But you did also mention that some of the opportunities that demo were limited by COVID-related restrictions. Have you seen those opportunities start to pick up? Or have you guys identified other ways in which you can get this product in front of customers and get them to purchase?
Anil Singhal: Yes, so right now, Kevin – as mentioned, bulk of the growth in the enterprise is on the Arbor side and not for the new product. And bulk of that also is existing expansions of AED, where the evaluation has not been a big issue, like going from 5 gig mitigation to 10 gig. Or changing the model number, where we are already relying on our incumbency and maybe incumbency and maybe something like a refresh. But the new opportunities in – meaning new opportunities in NETSCOUT Service Assurance accounts are going through these low cycles to cycle down because of the POCs and nevertheless, there is much more interest than it was at the beginning of the fiscal year. And lastly, there is a – next year, there is an upsell opportunity to all AED programs because AED allows us to detect and mitigate the attack, whereas the Cyber Investigator sort of gives you some insight into what the hacker was doing before and after the attack, which prevents the model's attacks. So there's been a lot of interest, and I have done, I mean, 30 to 50 calls say with customers. And so there's no traction, but a very positive news for the next year.
Kevin Liu: Got it. And then maybe just shifting towards Arbor within the service provider environment, you guys talked about kind of an interesting use case for DDoS at the subscriber edge with the MSO customer. I'm just wondering if you see that as more kind of a one-off where this does actually open more for additional growth opportunities with other cable MSO providers?
Anil Singhal: No. That was more of a one-off and because people try to deploy that. I mean, they could have easily got with Arbor Edge Defense, but this was more practical for them. And so we see bigger opportunity on the enterprise side for security. And on the carrier side, we have still similar challenges of carrier spending in the overall business like in the service assurance side. So while this is a good thing, this is another way of deploying our solution. But this mode of deployment, I don't see that as a big opportunity in other carriers.
Kevin Liu: Got it. And one last one for Jean here. Just as we head into your fiscal 2022, obviously, you're still going to be virtual with ENGAGE conference. But how are you guys thinking about kind of the return of pre-pandemic travel and marketing-type events? Is that more kind of a back half 2022 type of event for you? Or do you actually see that starting to trickle in even earlier in the year?
Jean Bua: Yes. I would say, follow our first half of our fiscal year and in the end of September. So I would have to agree with your assumption or your statement that probably travel will pick up again in our Q3 and Q4. So that's calendar year. That's calendar year last quarter and the first quarter of calendar year 2022. I mean, it just makes sense with the vaccines and everything and how the rollout is coming. I heard a comment and everyone had their own thoughts that he thought that people thought they would be – anybody that wanted to be vaccinated in the U.S. adult would be vaccinated by the end of July. So that would lead to a belief that you could start traveling again sometime right after that. Hopefully, I think good cost.
Kevin Liu: All right, sounds good. Well, congrats on the performance in the quarter and good luck.
Anil Singhal: Thank you.
Jean Bua: Thank you.
Operator: And this does conclude today's question-and-answer session as well as today's call. You may now disconnect your lines, and everyone, have a good day.